Operator: Good morning. My name is Natalia, and I will be your operator today. Welcome to Ecopetrol's earnings conference call, in which we will discuss the main financial and operating results in 2024. There will be a question and answer session at the end of the presentation. Before we begin, it is important to mention that the comments in this call by Ecopetrol's senior management include projections of the company's future performance. These projections do not constitute any commitment as to future results nor do they take into account risks or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call. The call will be led by Ricardo Roa, CEO, Rafael Guzman, Executive Vice President of Hydrocarbons, Camilo Barco, CFO, and David Riano, Executive Vice President of Transition Energies. Thank you for your attention. Mr. Roa, you may begin your conference.
Ricardo Roa: Welcome to the operational and financial results call of the Ecopetrol Group. We met our operational and financial targets, consolidating a growth path which set the foundations for a solid beginning for 2025, and enabled new possibilities to progress in the energy transition. I want to highlight our resource replacement results. The reserve replacement ratio was 104% with the addition of 260 million barrels of oil equivalent of proven reserves, maintaining an average reserve life of 7.6 years. This doubles the addition of proven reserves when compared to 2023, which reflects our commitment to the country's energy security. Around 89% of these results respond to organic management and was complemented by the acquisition of Repsol's 45% stake in the CPO-9 block, which added 32 million barrels of oil equivalent to our reserves. We renewed the agreement with Oxy to extend the development plan in the Permian Basin with an estimated investment of $185 million in 2025, including the drilling of 91 development wells. We achieved an average production of 746,000 barrels of oil equivalent per day, exceeding our annual goal and the highest level of the last nine years. In exploration, we surpassed our 15 wells target by drilling 16 wells with a total success rate of 43%. The CDUS-2 well, in the Colombian Caribbean offshore, stands out as it is key to expanding the country's gas potential. In midstream, we exceeded our annual goal by transporting an average of 1,119,000 barrels per day. This achievement proves our resilience and operational feasibility, ensuring the supply of crude to the refineries and products to our customers. Regarding downstream, we faced electrical reliability challenges while successfully completing the annual plan of shutdowns and major maintenance, achieving an average operational availability of 94.5% and reaching an average throughput of 414,000 barrels per day. On the commercial front, our trading subsidiaries in Singapore and Houston continued their support in markets and customers, improving the crude margins when compared to 2023. Let's move to the next slide, please. We accomplished a year of strong economic performance that generates value for our shareholders despite external factors such as exchange rates and inflation, which affect us recurrently. In 2024, we recorded total revenues of 133.3 trillion pesos, an EBITDA of 54.1 trillion pesos with an EBITDA margin of 41%, and a net income of 14.9 trillion pesos. Excluding external factors, net income would be 21 trillion pesos, an increase of nearly 10% compared to 2023. We invested over $6 billion of CapEx, including the acquisition of CPO-9 in line with our annual plan. Additionally, we collected the entire account receivable from the fuel stabilization price fund of 2023 and celebrated the 63% reduction of the 2024's balance. Efficiencies, which have been important to mitigate cost increases, reached 5.3 trillion pesos, surpassing by 43% the year's ambition. Meanwhile, consolidated payments to all our shareholders reached 42 trillion pesos. In line with the above, we just announced the proposal for a dividend distribution of 214 pesos per share, which will be submitted for approval in the common general shareholders meeting on March 28. Let's move to the next slide. In terms of TESG, Ecopetrol obtained the second-best global rating in the oil and gas industry in the Dow Jones Sustainability Index. On the environmental front, I would like to highlight three achievements: the reduction of greenhouse gas emissions by more than 462,000 tons of CO2 equivalent since 2020, which represents the CO2 emitted by over 840,000 cars; an 81% of water reuse in our operations, increasing 7% in terms of volume when compared to 2023; and in biodiversity, historic and awarded division through natural climate solutions projects. On the social side, we invested over 606 billion pesos in the sustainable national allocation of works in lieu of taxes with a 45% churn on the various projects we promote to benefit hundreds of Colombians. In innovation and technology, we became the first Latin American country to join the International Energy Agency's greenhouse gas research and development program, which we aim to boost through the Colombian Petroleum and Energy Transition Institute. In governance, we were recognized as the best company in Colombia for attracting and retaining talent by Merco. We also transformed our organizational structure to become more agile and efficient according to the needs of each business line. Finally, I would like to highlight Ecopetrol's contribution to the regional GDP within Colombia of over 1.33 trillion pesos, proving that sustainability investments generate financial benefits and promote economic development. I now hand over to Rafael Guzman, who will talk about the results in the hydrocarbons business line.
Rafael Guzman: Thank you, Ricardo. In the hydrocarbon business, we are focused on profitability and sustainable cash generation. This is demonstrated by the Ecopetrol Group's successful incorporation of proven reserves in 2024, achieving a reserve replacement ratio of 104% and maintaining an average reserve life of 7.6 years. We added 260 million barrels of oil equivalent in proven reserves, doubling the 2023 addition. In this regard, I would like to highlight the following: improved reserves revisions, the contributions of Rubiales and Caño Sur fields stand out, thanks to the outstanding results of the drilling campaign and the maturation of new projects. Management efforts were focused on economic factors, mitigating the impact of a lower price of Brent, which decreased by $3 per barrel compared to 2023. This was possible thanks to the implementation of initiatives such as cost optimization measures, the strengthening of the crude oil basket, and agreements reached with the ANH regarding their economic rights. These actions not only mitigated the impact but also resulted in the incorporation of over 6 million barrels of oil equivalent in reserves.
David Riano: Now, the primary contribution derives from the expansion of improved recovery projects in Colombia, amounting to 97 million barrels of oil equivalent, representing 37% of the total incorporation. Extensions and discoveries include the commercialization of Arecife, Saltador, and Torice. On inorganic incorporation, the main contribution relates to the acquisition of Repsol's 45% stake in the CPO-9 block, located in the department of Meta. This purchase added 32 million barrels of oil equivalent to 1P reserves and enabled nearly 8 million barrels of oil equivalent of organic incorporation through synergies with the Chichimene field. Additionally, we executed divestments, resulting in a net addition of 29 million barrels of oil equivalent. It is noteworthy that 89% of the total proven reserves are from fields in Colombia, where we achieved a 109% reserve replacement ratio. Lastly, on the gas front, in 2024, we incorporated 15 million barrels of oil equivalent following two years without adding proven reserves of this hydrocarbon. In addition, as part of our effort to strengthen the gas portfolio, we increased contingent resources by 1.3 trillion cubic feet, mainly from the Sirius discovery. Let's move to the next slide, please. As part of our active and efficient portfolio management, we successfully completed important deals in 2024 to ensure the profitable sustainability of the hydrocarbon business. Regarding acquisitions, and as previously mentioned, the purchase of Repsol's stake in the CPO-9 block strengthens Ecopetrol's position in the Llanos Orientales basin, providing benefits in reserves, production, and potential volumes to be developed of over 250 million barrels of oil. This also enhances decision-making agility and creates synergies in the development and operational cost as Ecopetrol now holds a 100% interest in the cluster that includes the Chichimene, Castilla, and CPO-9 assets. Furthermore, we extended the joint venture between Ecopetrol and Oxy in the Midland area of the Permian Basin until June 2026, with the possibility of signing a new extension of the development plan in the future. The contract for the development of the Delaware sub-basin will remain in force until 2027. Likewise, we implemented a dilution strategy resulting in the signing of ten agreements with Parex, aimed at reactivating areas with high exploration and development potential. Under this agreement, Parex plans to carry out investment exploration activities in Talamanca and Farallones. Likewise, in Putumayo, Parex will invest $350 million as carried in exploration and development, with the expectation that both companies will incorporate resources in 2025 as projects mature. Simultaneously, we continue to advance our agenda with the National Hydrocarbons Agency (ANH) and the Ministry of Mines and Energy to maximize activities within the areas of existing contracts and agreements. This effort has resulted in the extension of 15 exploration contracts across various regions of Colombia, as illustrated on the map. All these milestones will serve as future sources for reserves incorporation. Let's move to the next slide, please. In exploration, we progressed with the drilling of 16 wells compared to the 15 initially planned, with an investment of $454 million. As a result, seven wells were successful, including one where we confirmed the presence of hydrocarbons during the initial test in January 2025. Two wells are currently under evaluation, and seven wells have no commercial hydrocarbon potential. In addition, we highlight the progression of resources to proven reserves with the commerciality of Arecife, which contributed a total of 6.8 million barrels of oil equivalent. Lastly, in 2024, Ecopetrol acquired interests in four additional blocks in the Santos Sur project in Brazil, with a 30% stake for a total of 11 blocks. Let's move to the next slide, please. In 2024, the Ecopetrol Group achieved a production of 746,000 barrels of oil equivalent per day, exceeding the target for the year. These results were primarily supported by the performance of the Permian and Caño Sur fields. Additionally, the continuous contribution of assets in Colombia, such as Castilla, Rubiales, Chichimene, and Piedemonte, generated 42% of the Ecopetrol Group's production. Fields with improved recovery technology contributed nearly 41% of the Ecopetrol Group's total production. Regarding the production levels in the fourth quarter of 2024, it is important to note that the lower levels were anticipated within the projections and are mainly attributed to the anticipation of permanent activity in the first nine months of the year, environmental events due to the rainy season causing electrical disruptions, mainly in Rubiales, Yariguí, Chichimene, and Castilla, hurricanes affecting Ecuador and America, and regular low gas sales during the end of the year. In 2025, we estimate a production between 740,000 and 750,000 barrels of oil equivalent per day, which incorporates production from the acquisition of 45% of CPO-9 but also considers social unrest risks. Let's move to the next slide, please. In 2024, transported volumes increased by more than 5,800 barrels per day compared to the previous year, primarily driven by graded deliveries of Castilla and North Dakota crude oil to the Barrancabermeja refinery and the implementation of commercial strategies that facilitated the addition of barrels outside the transportation network. Thanks to our mitigation strategies, enhanced operational control, and coordination with government entities, more than 7 million barrels were evacuated from the Caño Limón field through the Bicentenario pipeline following the suspension of the section of the Caño Limón-Coveñas pipeline. In 2024, this segment achieved the highest net income amounting to 5.2 trillion pesos and recorded the second-highest EBITDA reaching 11 trillion pesos, contributing to 20% of the total EBITDA of the Ecopetrol Group. Let's move to the next slide. In 2024, the refineries achieved a throughput of 414,000 barrels per day with an average annual operational availability of 94.5%, despite a challenging market and operational environment. The gross refining margin decreased by $7.7 per barrel compared to 2023. In 2024, it stands at $9.9 per barrel. Seventy-eight percent of this impact is due to the decline in international fuel prices, mainly affecting diesel, gasoline, and jet fuel. Eleven percent is primarily due to the effect of the lower availability of segregated light crude oil at the Barrancabermeja refinery as a result of the attacks on the Caño Limón-Coveñas pipeline. The remaining eleven percent was the result of operational events such as the limitation of the coke compressor and the power shutdown at the Cartagena refinery. Regarding the latter, we continue advancing in the comprehensive plan to restore the refineries' electrical reliability, having completed four of the sixteen planned milestones. By 2025, we aim to advance ten milestones. As a result of the aforementioned factors, the segment's EBITDA stood at 2.2 trillion pesos in 2024, 69% less than the previous year. Normalizing for exogenous factors, the EBITDA would have been 6.9 trillion pesos, with an EBITDA margin of 9.9%. In 2025, the segment's efforts are concentrated on levers to enhance business profitability and mitigate exogenous effects such as costs and expenses optimization, focus on operational and logistical efficiency, initiatives to maximize business profitability through the production of higher-value products, including petrochemicals, asphalt, and chemical recycling, and the execution of energy transition projects aimed at sustainability and diversification of refining products into new markets such as renewable jet and diesel production, aromatic petrochemistry, low-emissions hydrogen production, and improvements in air quality. Let's go to the next slide. In 2024, the Ecopetrol Group continued its efficiency strategy with a contribution of 5.3 trillion pesos, exceeding the target proposed for the year. As shown in the lower left figure, the efficiencies were able to offset the increase in total unit cost by $0.97 per barrel, resulting in a total unit cost of $47.71 per barrel in 2024. Lifting, transportation, and refining costs were impacted by exogenous factors such as exchange rate, inflation, and gas price. This year, we will continue to execute our efficiencies program with new initiatives aimed at increasing the profitability of our operations and investments, maximizing asset value, enhancing synergies within the integrated hydrocarbon chain, and identifying optimizations in our supply chain. The program aims to achieve efficiencies by 4.6 trillion pesos. Now I'll turn it over to David, who will discuss the main milestones of the energies for the transition business line.
David Riano: Thank you, Rafael. In Ecopetrol, we acknowledge the importance of natural gas as the transition mechanism to cleaner energies. For this reason, we remain committed to the incorporation of our portfolio of options that allow us to contribute to the reliable supply of national demand in the coming years. To achieve this, we are implementing all actions and investments necessary to support the country's energy security. In 2024, we successfully delivered the gas committed under contracts with third parties, with an average of 506 GBTU per day of natural gas and 15,000 barrels of oil equivalent per day of LPG. This led to a production of 170.2 thousand barrels of oil equivalent per day of natural gas and LPG, with an EBITDA generation of nearly 2.9 trillion pesos. This EBITDA is 70% lower than in 2023, mainly due to a lower availability of domestic natural gas and LPG, and exchange rate variations. However, we continue our efforts to ensure that this business line makes a significant contribution to the achievement of our long-term goals. Throughout most of 2024, we assessed various alternatives for importing natural gas through market information requests and internal analysis. These evaluations, both technical and financial, explored options that could support gas demand until offshore projects come live. In this context, we highlight progress in two important areas: the startup of the Virginia LNG project, which allowed us to identify its benefits from the technical and commercial point of view for meeting medium-term natural gas demand, and the approval to continue the studies during 2025. The binding process for regasification services, the first of its kind, seeks private companies to offer a regasification service to Ecopetrol. In regulatory matters, we highlight the company's efforts to promote the updating of gas marketing rules in key areas such as commercialization mechanisms for the volumes coming from new gas projects, endorsement to develop the transportation infrastructure required to connect new projects with users, and the need for regulatory certainty related to the development of new gas projects and the possibility of developing natural gas imports. In this line, relevant advances have materialized for the market, such as the correct resolutions that structurally modify and make more flexible periods for natural gas commercialization and promote the use of all the volumes available in the market. The Act 1467 of 2024 makes imports and offshore natural gas sources viable. Finally, the supply plan includes strategic transportation infrastructures for the development of new supply. Let's move on to the next slide. In terms of energy efficiency, between 2018 and 2024, we reached a cumulative energy optimization of 19.9 petajoules, equivalent to the annual gas and power consumption of more than one million homes, contributing to decarbonize close to 1.2 million tons of CO2 equivalent and generating savings of 389 billion pesos. These results have a major impact on the goals of Colombia's National Energy Efficiency Program, which promotes an efficient use of energy in different sectors and activities of the economy, representing 72% of the national goal for the oil and gas sector. Regarding the integration of renewable energies into our energy matrix, by the end of 2024, the Ecopetrol Group accumulated 611 megawatts of capacity from non-conventional renewable energy sources in operation, execution, and construction, with a potential contribution of 1.6 terawatt-hours per year, which corresponds to a 19% share in the group's energy matrix and 52% lower target when compared to non-regulated energy purchases. The combined effect of these efforts in transition energies, including the final investment decision and the start of construction of the Coral project at the Cartagena refinery, a plant for green hydrogen production using PEM technology with an electrolysis capacity of 5 megawatts, strengthens our position to achieve our goals. In summary, 2024 ends with 68% progress towards our goal of incorporating 900 megawatts of non-conventional renewable energy sources by 2025, 80% progress towards our target of 25 petajoules in energy efficiency by 2030, and a clear path in 2025 to escalate up green hydrogen production at an industrial level. As part of our commitment to promote a fair energy transition and contribute to sustainable territorial transformation, by the end of 2024, the Ecopetrol Group impacted more than 13,000 people with renewable energy solutions, supporting the consolidation of the largest energy community in the country located in Manaure, La Guajira, and connected communities with renewable energy solutions for biodiversity and peace. Additionally, we connected more than 25,000 families to natural gas service for a total amount of 69,000 since 2019. In 2025, we aim to execute 16 additional projects, connecting 30,000 new families in more than ten departments around the country. I will now pass the floor to Camilo, who will present our transmission and road business line and the main financial milestones.
Camilo Barco: Thank you, David. In 2024, ISA achieved the highest net profit in its history, driven by the entry into operation of new projects and by the recognition of the periodic tariff review for transmission companies in Brazil during the third quarter of the year. The 12% increase in revenues, 8% rise in EBITDA, and 43% growth in net income compared to 2023 highlight our strong performance. Net income results were partially due to impairment figures of the year compared to 2023. In line with our strategic diversification goals, by the year-end, ISA's individual results enhanced its contribution to the Ecopetrol Group, accounting for 12% of consolidated revenues, 18% of EBITDA, and 6% of net income. Consequently, the average return on equity measured by the ROE indicator reached 16.9% in 2024, up from 14.4% in 2023. ISA accelerated its investment execution in 2024, reaching 4.8 trillion pesos with a robust investment plan committed to achieving the 2030 target of 26.1 trillion pesos. This year's execution included the launch of 15 projects across various regions, such as the Minuano project in Brazil, connection service to the substation in Colombia, and Ruta Loa project in Chile. By 2030, 5,600 kilometers of circuit to the grid and 296 kilometers of toll roads will be added through the development of 38 projects that are currently under construction. With investments of 3.8 trillion pesos, ISA secured ten tenders in power transmission, including notable projects such as the Ruta Orbital Sur in Chile and the East Pan American route in Panama. Finally, we will launch our ISA 2040 investment strategy on March 12, which will continue to strengthen our regional growth. Let's go to the next slide to detail the financial performance of the group. The strong financial results for 2024 were driven by our sustained efforts to achieve structural efficiencies, maintain profitability, uphold a strong cash position, exercise continued capital discipline, and mitigate external factors. Key financial achievements for 2024 include an ROE of 10.2% and an EBITDA margin of 41%, above the annual target with a significant contribution coming from the transportation segment. Optimization of our debt structure through strategic operations for around 22 trillion pesos, pursuing an early refinancing plan and lower interest expenses. In addition, the company kept its gross debt to EBITDA ratio under control at 2.2 times and extended the average life of debt from 8.5 years in 2023 to 9.3 years in 2024. The highest free cash flow in our history was underpinned by strong operational performance and the collection of the account receivable from the fuel price stabilization fund accrued in 2023. Given these positive results, we proposed an attractive dividend payout of 58.9% with a dividend per share of 214 pesos. This proposal is aligned with our dividend policy and will be coordinated with our majority shareholder to achieve a parallel payment of the PPEC balance accumulated in 2024. Let's now look at our cash position and results. In 2024, the significant decline of the PPEC receivable favored our cash position, which was adversely affected in 2023 in terms of working capital. The effective balance closed at 7.6 trillion pesos, the lowest level since 2021, thanks to the collection of 20.5 trillion pesos during 2024, in addition to the increase of gasoline prices and a slight rise in diesel prices. For 2025, we anticipate the PPEC balance to range between 4 and 6 trillion pesos, assuming the current price scenario remains unchanged. The robust 18.2 trillion pesos cash position for the year-end on a consolidated basis will be primarily allocated to the 2025 investment plan, as well as to operational and financial obligations. Our EBITDA reached 54.1 trillion pesos in 2024, with an EBITDA margin of 41%, setting one of the highest profitability levels in our history. It's important to mention that our EBITDA decreased by approximately 6.6 trillion pesos compared to the previous year due to external factors impacting 7.8 trillion pesos, including a 45% impact from price decreases, consolidating the Brent reference price and product and crude oil differentials, a 37% impact from the lower average FX rate of the year, and an 18% effect from inflation. Excluding these externalities, the adjusted EBITDA would have been approximately 62 trillion pesos, representing a 43% EBITDA margin. Please go to the next slide. In 2024, we executed a challenging investment plan, achieving $6.1 billion in both organic and inorganic investments. Investments were primarily allocated in Colombia (65%) and internationally (35%), mainly in the US Permian Basin. Organic investments in the hydrocarbon segment accounted for 68% of the group's total investments, with significant projects in Caño Sur, Chichimene, Acacias, and the Permian drilling campaign. Twenty percent of the investments were allocated to ISA, enhancing progress made in 38 projects under construction by ISA and its subsidiaries. Additionally, commercial operations commenced in 15 power transmission projects, improvements were made to the ISA energy grid in Brazil, and the Ruta del Loa project in Chile was initiated. The energy transition business segment executed 13% of the group's total investments, focusing on the gas supply chain in basins such as Permian, offshore Tayrona block, and Piedemonte, as well as renewable energy projects like the Juana Solar Eco Park and the Kifa Solar Farm. Finally, $239 million were allocated to inorganic investments to acquire 45% of Repsol's stake in the CPO-9 block and for the acquisition of Oleoducto Central S.A.'s non-controlling interest by ISA. Now let's comment on our 2025 investment plan. For 2025, the investment plan aims at sustained growth, controlled costs, and ensuring profitability for our shareholders while strengthening our traditional business. We plan to invest between 24 and 28 trillion pesos, with 60% allocated to energy security. This includes enhancing our crude oil production, securing refining throughput, and meeting domestic fuel demand with our own products. The remaining 40% of our investments will be allocated towards the energy transition, including sustainability, innovation, and electricity transmission and toll roads. The investment plan is based on an average Brent price scenario of $73 per barrel. It aims to preserve competitive returns with a 39% EBITDA margin and achieve efficiencies exceeding 4 trillion pesos. Such a plan does not account for the export taxes and stamp tax introduced by Colombia's internal promotion decree in February 2025. Nevertheless, we do not anticipate significant impacts on its execution. Finally, I would like to discuss the main challenges we identified for this year and outline our finance team's plans to address them. Like our peers, we will remain focused on reversing the trend of costs. For this, we set a lifting cost target ranging from $12 to $13 per barrel for the whole year, aiming to reach the lower end of the range. Additionally, our debt management strategy will focus on addressing cash needs that may arise from inorganic opportunities and continuing to reduce financial costs. To optimize our return on capital employed and profitability, we will focus on managing our assets and the turnover of our portfolio. Finally, we continue taking action to support the dynamism of our stock and create value for our shareholders. Recently, we announced two key initiatives: a temporary decrease in ADR conversion costs and the appointment of a market maker for local stock. I now turn the floor over to the president for his closing remarks.
Ricardo Roa: Thank you, Camilo. The satisfactory results of 2024 allow us to continue generating value and profitability in 2025 based on strict capital discipline and cash rotation criteria. For this year, the operational and financial goals we have set respond to the need to keep enhancing organic production of hydrocarbons, preserve operational availability and reliability across our infrastructure, increase our efforts related to efficiencies and decarbonization while consolidating the energy transition business line, and maintain our leadership in energy transmission in the region. We recognize the challenges ahead, so our efforts will focus mainly on enhancing flexible operations to address contingencies and preserve continuity, enabling cost efficiency alternatives that allow us to maintain our competitiveness. I thank all the employees of the Ecopetrol Group for their hard work in 2024 and encourage them to keep moving forward in 2025. Thank you all for participating in this conference call. I now open the floor to the question and answer session.
Operator: We will now start the question and answer session. I ask you to please have a maximum of three questions to give time for all the participants. Please select in the interpretation icon the language of your question. Otherwise, we will not be able to listen to you. Thank you. Has a question. Mister, you can ask.
Katherine Ortiz: Good morning, everybody. Can you hear me? Good morning. Thank you for the opportunity. Very quickly, three questions. The first is I'd like to understand a little bit of the impairment terms of that the refining segment because one of the reasons to do that reversal is that the difference between the prices and margins were adjusted to the upper side. I'd like to understand those assumptions that you're using so that you could have that value of these appraisals. The first question is that. The second has to do with the profitability that you're estimating an EBITDA margin for 2025 of 39%. Does that mean that you're expecting a reduction in the EBITDA margin because this year we had it as 41%? Actually, we did a piecing. So I'd like to understand a little bit why do you see that reduction in the profits. And that should be a margin that we should hope to be stable in a little in a medium term. And I'm surprised because this year, we too have lower SG&A service because we have lower prices in terms of the plant oil and rate of exchange. So I'd like to understand why they still like picking a and a payment in this margin. And lastly, the third question has to do with recently, at the end of last year, you enabled the self-report generation through a regulation. I'd like to know whether that is real and how likely is it that the payment of the end balance would be made using the assets from Aura. And in addition, whether it is true that this that they made an offer for the project where the CapEx that you are mentioning are also including these. Those are my three questions.
Camilo Barco: Good morning, Katherine. This is Camilo Barco. Thank you for your questions. My microphone was also you couldn't hear us. So I'd like to start by the question about the impairment, which was shown in the last quarter of 2024. And this is something that we do according to generally accepted methodology, which is for microvaluation, which is based on the valuation through discounted cash flows for the short, medium, and long terms. In that respect, there's really perhaps three or four factors that affect this adjustment that we can on this recovery that we can see in the statement of results for the previous year. First of all, I'd like to mention the curves that we used to project the prices. They are companies, international companies, long-standing companies that produce the type of information. And we use that information for our impairment exercise, basically, when the kitchen plants when the dish has. And these are gross scenarios and projections, the ones that we use in our evaluation. In those curves, we see that there will be a recovery of the price differential prices for the products which are used for the medium and the long term. That would be one of the factors. The second one has to do with the local crude availability for our refineries, which allows us to optimize the cost of the input and the crudes that are processed therein. Thirdly, there's a component that has to do with the discount rate, and the discount rates that we're used to have some small adjustments in terms of including some risk factors. And when we add the projections, the local component, the adjustments for the rates, we have positive repayment, which reflects a recovery of approximately 0.9 billion in the last quarter for 2024. I hope that this I have answered your question about impairments. The second question I had about the EBITDA margin we are projecting for the next year. An EBITDA margin for around 39%. That EBITDA margin, as you can see, is the result of applying price projection for this year, which was the last time we had for 2024. This year, we're working with a Brent projection of $73 per barrel. It's lower than what we used for the previous year, which was around $80 per barrel. This is an important effect. However, it's a but time to repeat our firmest commitments to the efficiencies for this year have an efficiency plan which is greater than 4 trillion pesos to 4.5 trillion pesos, which are unable to offset a good to a good miracle there. Behavior of Excellent. Alright. Well, this is the EBITDA margin predicted based on prices and the behavior of what we expect for the price of Brent and of refined products for this year, 2025. I'll give the floor now to the president to actually the issue about remote self-determination and the possible acquisition of renewable generation assets.
Ricardo Roa: Katherine, good morning. This is Ricardo. My third question has to do with whether we could you're speaking about the possibility of buying assets such as Aura, to compensate the cross from the, to the governmental at the end of 2024. Those alternatives have been assessed in conversation from the Ministry of the Treasury. We have an offer with the appropriate regulations to allow to acquire this type of assets, after any evaluation of the assets. It is not so relevant about the balance of this 7.6 trillion pesos that we ended at the balance at the end of 2025. However, looking at the regulations, if there were the appropriate reasons to apply that, remote generation to a system like that, we will continue to assess them right now he talks with the technical groups in the financial finance. We have an agenda for the repayment of the PPEC as we get the repayment of the dividends to the nation. About the ipeche program project the parties, that's in Ecopetrol, and, you know, would have been working to perfect an agreement for this transaction. Bridges of the project in Guajira. If we make the agreement under a confidential basis will carry out the appropriate procedure, the procedures, and after we close the process, we would in publish the details about your communication. All through the communication channels. We'll continue with the question in Spanish. Mister, I ask your thank you. And good morning, everybody. I'd like to mention two issues the operations of Ecopetrol in the Permian in the US, and I don't know whether can you give us more details about the extension agreement that's signed with Oxy in the Midland Basin, especially because a day after that, at the day after that, President Petro and she couldn't cancel that contract. Are you thinking about canceling the contract that has already been signed? First of all? The second thing is what does extension include? How many acres and what is the potential that you see for these acres that are in the middle in terms of total locations for drilling to what understand what is the additional potential that you might look at. In the Midland, especially that would be about I'll turn it and my second and last is to have a your opinion about the potential of unconventional oil and gas in Colombia. Is that an opportunity or is that something that you're not considering right now? And if you're not, I like to know what are the reasons why not go after these opportunities. In Colombia. Are my two questions.
Ricardo Roa: You, Daniel Ricardo Roa. First of all, I'd like to tell you that about the Permian project? I'll give the floor to Luisiana. The Vice President of New Business to tell you about the details of this extension of the agreement with Oxy for extending the protection of the assets in the Midland Basin. Let me talk about the second part. Which is the after the day of the second. The day after the signature was signed, the President of Republic of the Board of Directors asked the board of directors to medical and economic analysis required to get out get get out of that. That's what we do constantly. We do valuation and assessment fixes. It is only assets not only in the US, but also in our geographies around the world where we have agreements. So we are very respectful of the times the terms, and the times of the agreements that we signed with our allies. And in that respect, we continue to make our decisions with the capital discipline key criteria that you know. According to which we decided to extend that. That agreement. With the actually or essentially the maybe in a patient. The second question about the nonconventional, it is clear that in the country, the current government policy is rigorous with respect to demanding that we stop for the time the activity of these explorations and the contracts then. We had as partners have been suspended. Or closed properly. Without Internet. Leaving any environmental economic liability spending with the contractors that we're doing our operations. As long as we still have regulations or regulations and ours. That prohibit this activity in the country. Very good. We've been told. Focusing his attention to exploring and looking forward. Looking for petroleum and gas with the concepts that we have and in the areas where we're also exploring is to be able to place molecules and growth in the in the system. That's what we are doing. And in that within that frame of work where carrying out these projects. And we're making significant investments. I give the floor to Julia. To tell you about the details of the station, the joint venture for Oxy.
Luisiana: Thank you, President. Good morning, Daniel, and Dennis. Vice President of Strategy and New Business. We, with our CEO, as I mentioned in the introduction, we had an agreement to extend that the activity plan. And I want to emphasize that. At that point, because the ownership of the acreage doesn't change. The ownership of protection doesn't change. Why? We extend it for as the activity by, obviously, as an operator within the contract of the joint venture. We must remember that with our entry in 2019, we purchased 49% of an area of close to 95,000 acres in Midland. And then an area close to 20,000 acres in Delaware. And that area is which is being onto development, right now. So this is there's a that's included in this area. Only includes an extension of the plan. In which art agrees to develop around 90 wells during 2025 and similar figures what we had for 2024. This is somewhat I can tell you about the agreement. There are so much which are confidential between the parties, but this made it a beneficial scenario for Oxy and for Ecopetrol in which both parties were able to extend that activity and in the door open to future extensions if either of the parties are appropriate, and we will discuss it as appropriate. Please k. Yeah. Yeah. I go what was mine? I was presented to Vital Carbostender into have that, as we have said, we included our research last year 22 million barrels that would enable us to believe that we have a map. However, especially in the period, the future investments, which is the agreement to we're going to be reviewing on this all the time. It is possible that we might have constant, extensions to this agreement. The next question is in English. Mister McCallnish?
Daniel Guardiola: Where was Diaz? I just already took it as a tradition and became a being. Mapogee actually submit equal to spend another one year. Good morning. Let me talk to the first question. Unfortunately, I do not agree with the fact that the reason why our shares performance in the equity role in the stock market reacting due to the expectation of a new administration. And the reality is that the figures the numbers of the result that we've seen and been mentioning the close, the expansion of the contract with Oxy in Permian acquisition of 45% of the group that we had in Repsol in CPO-9. The replacement of reserves that had a 104%. Those are advancements. So Oh, advances in being actually material at transition. We're going to have in the middle of next year. We have the largest and highest technology plant in Latin America for green hydrogen and makes actually the include the incorporation of new energies or renewable uses. This is being read properly by the market and the stockholders and that is the explanation for the improved performance of the shares in the stock market. About the expectations for the new administrations, for the second, we'll we'll have to wait until the administration might alter this at this at this I mean, I should has been very deeply articulated with the understanding and the issue of standards of regulations that allow us to make our role more flexible in supplying the energy for fuels from the country. In gas, there's a Flexibleization that allows us to, you know, to commercialize volumes at any time. We can import a a a sequential cash and sell it to the market. We don't have that restriction. We're working on the rates for a con invention conversion. To assets for transportation of crude organza, this these have been advances we had in the credit with the administration and with the, institution. Good morning, Donato. Thank you for your question. This is Julio Cesar Valera. A vice president of commercial and, marketing in charge about the prices of consultation, I can tell you with respect to first of all, let me tell you that the prices are regulated and defined in Colombia. By the, National Government, Acupuncture, we have the responsibility of implementing them. About the prices with the parity, a Internet price. So I can tell you that we are indexed to the international indicators we maintain a strategy of diversifying origins and destinations specifically I can tell you that right now, the regulated price of the gasoline is higher than the import parity diesel is below. Because that it can take you at the end, three. Didn't we got to the seventy six dollars for the income, and the parity price was ninety nine dollars per barrel. Thank you. Please select in the interpretation icon, the language in which you're going to make your translation. However, we can't be able to listen to you. The next question comes from You can ask your question.
Victor Modanassi: Good morning. Victor Modanassi from UBS. I have two questions on my side. You think it was pre contest? Lifting cost during 2024 remain above levels seen in the preview in previous years despite the cost efficiencies achieved. What's what's your expectation for the company's lifting cost going forward? Your total of $18 per barrel target for 2025 and second, on the topic of the effect of natural gas and capacity. Could you provide more details on potential volume and value of future projects for the discussion?
Camilo Barco: Good morning. Thank you for your question. For 2025, we are looking at the inflection point in terms of the the how do we cost to you've seen an increase in the cost or 2025. We expect to be close to what we saw in 2024. We're working on the efficiencies to be able to in the future, to be able to lower the cost. But 2025 specifically, we do not expect any increases compared to 2024. About reclassification, I guess the photo private While Naveed answers talking about the reclassification of gas project. I'd like to add So the Rafael's question about this, you know, So you mentioned in the presentation our one of our objectives was to contain the increase in the cost of electrician. Yeah. In that respect, we for this year, we could have between twelve and thirteen dollars per barrel. The other well pumped. And during the implementation of the efficiency growth, with the for the more than four point three three failure pages inefficiencies. We hope that the okay. Total cost will be in the lower cost of twelve dollars, not only by controlling the call but also improving somewhat what we saw compared to 2024. Good morning. This is the deputy, a new vice president of of translation energy. During the past year, we assessed several alternatives to import gas into the country, both in the Atlantic and the Pacific Coast. And as a result of that, process, we identify the best alternatives for the Ecopetrol. Group, which meets the capital discipline criteria which would have allow us to put cash into the market to meet the demand that we expect for the next few years. Specifically, these two projects that we've, like, identified. One in the Pacific coast, with a capacity of liquefaction of sixty million cubic feet per day, This is a project in which projects acquire a verification service and therefore the third party does all the investment All the logistics Activities for receivable storage and reclassification. We done. We are processing that. A recertification plan. And we this is going to be through OPEX, and Ecopetecia doesn't need any CapEx investments. Other project is our own project in the north part of the country in the Caribbean in the Beto Chuba platform, which is an asset owned by the group, Julie transportation system for for LPG and the one that leads to the from the gas or the electric vehicle. We can bring approximately two hundred million cubic feet per day reassessive bypass. In this case, would make some facilities in the Chukwab Bay platform and their classification service would be through a floating reclassification service would be carried out by a third party. This is under analysis, especially in terms of the environmental issues As soon as we have more information, we'll be.
Victor Modanassi: Okay. That's that's very helpful. Thanks. Do that message.
Andres Cardona: And this is Cardano for Citibank. Morning, everybody. Thank you for my time. Two questions. What can we expect after the acquisition of CPO-9 in terms of development. Now that you have a hundred percent of the working interest with respect and acceleration in the development plan for the field. And the second one is, we part of the payout that you defined for 2025 is somewhat limited by the M and A expectations with the company. You mentioned or, you mentioned the assets there. So, Hazlka, I think, is rolled out But, are you considering any other any other Potential acquisitions, and could all the be in the generation sector? Thank you.
Ricardo Roa: Hello. Good morning again. The acquisition of the participation I had is a PO zero nine. It's one of the major landmarks for Equatorial last year because in addition to the results we have, they want they want to include. Thirty two million with the acquisition, Already begin to see what we can With this additional block with the Chicanha and Castilla, So We're going to be able to have another eight million barrels a day with these fields. And want to expand on this. Yeah. I can see it's if you she said at the main BLAVE field in the zero nine. It's a continuation of the teaching and field. Where Ecopetrol has made major investments and developments we're getting high recoveries. Thanks to air and water injection, that or those lessons that we learned will be used to for the CTO guide. In addition, We have two production. It was in production. Which are in addition to blocks is CDO zero nine. This is an extension of the stigmas fields and all the investment made by the the the recognition of Ecopetrol in Castilla has moved we're gonna go to this block. We have major synergies in development and operation cost. So by having a hundred percent interest in this entire field. Next example is the development of Tandemo, which is We see that as a connection of these two worlds. Directly connect to the EfCastillo. You see that's through a floor line. This would be Another increase in decrease in the development cost This acquisition in the future, we have potential to buy an additional fifty million pounds in this month which represents a a large number of, bare bones for agriculture. Thank you.
Camilo Barco: So the the question is to the payout. Then trigger Man, made for the distribution of dividends as approved by yesterday support. Please to check about the panel, I had to talk to there's three different factors in which the proposal that just given the distribution that is put to the assembly, The first is a dividend policy that has been adopted by the board of directors. To which we've declared that in the in document twenty f and it says that the policy is Part of the distribution of between twenty between four and sixty percent of available promise for the year for the stock. This is the first framework for conversation. The second one has to do, obviously, with the availability of cash and the gross liquidity as we saw last year we had a Sullivan position close of of of rate than eighteen trillion pesos and the third has to do with the the investment plan for which for twenty twenty five As part of the three year plan, for investments is an ambitious plan, which is over six point seven trillion doll billion dollars. By a Combining these factors, we find that the that the dividend payout is frame with the three three elements. And for investments. Seventy percent of the total will be used for four hydrocarbons including gas as a transition fuel, thirty percent remaining for transitional energies transmission, and roads. And in general, about the acquisitions or inorganic binds as part of our ongoing job, constantly evaluating different business opportunities in different sectors and and addition to the opportunity that we mentioned, and that the market is aware of in terms of renewable energy, We're also exploring significant number of opportunities in different segments and lines of business. One last question. Could we expect that the payment of the single decision fund payments continue with the same dynamics. We're showing the twenty twenty four which is amortization over twelve months of the the balance remaining balance which is a decreasing, but it's a it's done in a reasonable assumption for a month? Yes, Andres. Yeah. I'd like to point out the effort that that national government has made even in the midst of this difficult situation that we have, the national government has been Complying with the dates and the amounts that were assembled for paying the obligations We had some payments for over twenty period basis, and the salary the balance for twenty twenty four is seven point six billion into be included in your respective months this year. We have a forecast also regular payments. I I recorded four payments for over the year. These are being reviewed the way payments it might might change according to some request from the ministry of Finance, but working based on regular quarterly payments of similar amount, maybe higher than the first quarter. We're talking about two point three trillion patients. And in the second one, would be a similar amount. And for the second semester, one or two additional payments for the remaining balance of three point five billion. Approximately. So and so, yes, we can foresee that the payments will be con continue we continue They've committed the development has committed to making their payments on time, and we are reviewing and agreeing way manner of payment to which best fits the ministry of the Frederick, according to Inflow cash flow inflows in our own requirements in Ecobitrol. Mister Dorothy, may I ask you a question? Thank you. Good morning. I have three questions. There. How you're going to transport that gas from the port to to the nearest cash line. LPG or some of those companies that are in the in the west also. No. Is that through, Overlanders that do you have, you or somebody else today? Intended to the connection between the port? And the gas lines in the interior. The second question is can you tell us How much were the contributions or the payments account control to the nation in twenty twenty four? What is expected twenty twenty five. And please Can you itemize it? Taxes, how much is for income tax and what is the others. And the last question is what what the person mentioned earlier about the green hydrogen plant, I'd like to know whether you have identified the sources of generation and water that you would start that we use, to produce that hydrogen And with it, there's eight hundred tons in total, per year. Whether whether that or is that a production is all going to to refinement or is it simply a surplus that are going to be sold somewhere else? Of Transitional Energies. As far as the recastification that's right in the Pacific, As we mentioned earlier, this is a Acopressure acquires the right to the service of radio syndication, which is gonna be provided by a third party. And that third party is going to receive the the materials, storage, transported overland through as their energy state, and regasify it and deliver it to the initial interpretation system in Boca. This would be gas line from which is the In fact, the reservation plan in Boga is next to line for the transportation line. About the second question about a contribution to the country, to the nation, Eighty four. We had more than forty patient patients. Of which from dividends, we paid eleven Price is about ten billion. For twenty twenty five, we expect to pay expectations of the price behavior and total revenue. I'm pushing it must take thirty five trillion basis. We propose seven point eight regional pensions for the nation In royalties, And taxes More than a hundred and fifty thousand pesos. I'm sorry. The microphone is has an echo. And it's, coming and going. Residential energy transition. About your question about the green hydrogen plant that we are building, the Cartagena refinery. We must say that that production we expect that eight hundred tons per year of green hydrogen will be totally used by a refinery. So to hear that, amount of hydrogen is one percent of the total The whole by verifying it. Process right now. This is based on the natural this is gray hydrogen. So this green hydrogen will will be part of the meeting those requirements for the current refinery. Therefore, we don't have any any service water energy to meet the hydrogen plant. Thank you. Mister Sandoval, may I ask you a question? Thank you. For the call. I have some questions. The first has to do with the the twenty five. You explained it where before I had a a bad connection. I'd like to know that may be soon why we see a decrease in those margins because of the they they implode our margin, and we usually we're working with was Ask me at least forty percent of The second question is Has to do with that. What is the problem of the day? Of Distribution Good answer now. Idea of what part of the allocation of reserves and we distributed without the need to acquire any new debt. And the last question is about Eason. In the unit. Recently, There was a blackout that she never he said it's part of that which response to this. And I'd like to know whether you can tell us a little bit about okay. Possible. Lines or economic with that that lag out. And whether and you see that as a need to make initial investments in Chile even as an opportunity to improve transmission in the country. Thank you very much. This is. I start my division. We mentioned that it answers to a previous question. It has to do what we're we're looking about, basically, you have a it has to do with the Python which we work our and when it should buy for twenty twenty five. The seventy three dollar per barrel, rent which are projected for this year. And in addition to that, we see that there has been a significant increase in the prices of three hundred dollars. And for twenty twenty three, we're talking about nineteen dollars and more. For twenty twenty four where we had in March's closer to nine dollars per barrel. So this difference in this increase both in the Yeah. Good refined product differentials. These are project some lower prices for this twenty twenty twenty five. Which have relatively impact in terms of generating the EBITDA. Which is a marginal remote seventy nine no. Margin you get a margin of thirty nine percent for this twenty twenty five. About the distribution of the additional vehicles and reserve? As we saw in previous question, these are my marriage factors that we evaluated to submit the the subject to the app. Order of directors. The the liquidity and availability of cash and the investment plans that we've seen for the twenty twenty five is challenging. And both because of the organic investments, and due to the inorganic investments, what we've completed this part of the year, or we can see that we'll be completed Edit. In the near future. I'd like to say that that there's there's a occasional reserve is an accounting reserve. It doesn't have a Real cashew wart. To make any sort of distribution of the site. We would have to use financing Posting and the extraordinary dividends or the distribution of allocation of reserves. Oh, the available cash and the investment tax that we have, for twenty twenty five, that is already ambitious and which it will require Some sort of financing associated tools to the inorganic component. The financial plan for twenty twenty five is organic component, and then without additional debt for the reverses. We will need any sort of additional or refinancing, and that limits the possibility of distributing more About the question, Marissa, I'm with Iza. I think it was a details about that. And do you hear me? Thank you for your attention. He gives us a context. The is our business in shared AI platform Or power transmission through Eze into Chile. This is This is four percent of the EBITDA. I'm sorry. The EBITDA, the company, two percent of our profits among we have. This is a a line which is over twenty two thousand volts. And that we were transporting for twelve twelve hundred megawatts in total When that light came out, it went out of the circuit. It was unavailable of the country of the circuit. Now from the time immediately, we mobilize all the capabilities for coordination, all the teams to include the availability of that line which was done at four PM. That was about forty four minutes after the lockout. And the it was also available to reinstate the service. We're still investigating the reasons for that. It was at the at the end. The Protections went off. Unscheduled and that cut off several circuits we've been investigating. We've been look looking at the investigations, the authorities providing all the information they require to Complete this investigation. Successfully only. When we complete the investigation, we can define the level of responsibility and the consequences for we had. With, you know, with respect to the funds, right now it doesn't risk the financial liability of the company. There was another comment about the well, opportunities. We have two projects under development. The one with the connection predict they they collect which was very energy transmission in that country. And that situation is going to lead us to require more more support and more permits so that those lines can start operating. Chili. Unlike Columbia, and Peru, which are very highly connected countries. Chile is very long and very radial. And needs more and more lines to to install more lines.
Bruno Montanari: Hi, Brent. Good morning. So I just have one question here from my side. I just wanted to ask about the developments regarding the gas to the Mato exploration project with Shell. Do you expect any sort of final investment decision in the coming months? And if so, what can we expect in terms of sizing for the project in timing as well? Thank you.
Ricardo Roa: We've been working with our partner, Shell, to complete this development. We expect to have a final decision of investment during the first quarter of this year. We'll give you some updates on the expectations in the future. This is something that we see would be very helpful.
Bruno Montanari: Okay. Thank you.
Camilo Barco: How about East Columbia? What are your growth expectations in organic for the company? And I used it happy with the participations. Could We have more investment, more assets due to the the profits Okay. Thank you for the question. All we have is a organic growth plan which is significant for the twenty twenty five, twenty thirty of approximately between seven billion dollars in various countries where we are have presence in energy and roads especially in energy. Oh, it's just the most significant with eighty percent eighty four percent of these investments which are Fifty percent in Brazil, and the rest is in Colombia, Peru, and Chile. This enables us to keep our wealth strategy from this is In terms of operations growth, Zero We have not defined any operation in terms of merging these two businesses we have welcome. You share your control with ISA? Of which they they're excellent project we did. An appropriate profit levels and keep the their they both their growth paths with growth projects in both Thank you. For the time being, there are no more questions. We'll then read the questions from the chat. What metrics you need? You should measure the downstream Advances in twenty twenty five. We have a very structured plan for improve our downstream segment profitability. To maintain a high operating availability. We use some maintenance plans. We we intend to go to the, throughput of the refinery with Colombian crude. And that which we continue with our investments in the downstream Another one of our purposes is to have a larger amount of fuel We have modifications in the sources in Baranta. For the future. I also have to improve the the quality and the margin in areas such as fuels and aromatics and petrochemicals. And another factory we're monitoring is also cost reduction This is part of our efficiency program. And also reducing the cost of the refining box would be another target. About the second question, about the regasification project in the Pacific, as we said earlier, in EcoMotorial Purchases is the rectification rights, and the third party makes the investments. The operation and maintenance of the infrastructure to provide the biggest efficiency service. That is why don't have an investment or an a CapEx should be implemented by Ecovatrol. As far as the recertification project, in Guajita, in the Chachupa platform, In that case, Ecopetrol leads the project because it's going to be in its facilities The investments that we would have to make would be in the pumping system of the shipping. How are you? Which is not very high, the information we have available, to be between a fifty and six a hundred million dollars because the service provided by the you see, are you agent is a floating unit for storage and classification? Would be enough to pay back to the third party, which would buy the third party. As is usually in this type of activity, pay that through As far as times, the gasification in in Pacific in the Pacific would be expected to be inoperative in the second quarter of twenty twenty six. And make a reservation in the Caribbean in the Toshiba Bay platform would It depends on some clarifications that were consulting with the environmental authorities. We optimistically, we'll start operation in twenty twenty seven. What are the financing needs And what do we need to enter Capital international capital markets to get some debt in twenty twenty five. This is goes to Andrew. Basically, There are several points. First of all, we mentioned in the previous question that affected our refinancing plan for organic financing will not require any additional financing. We all should also say that During the first part of the year, we we are certain that for the rest of the year, we will accelerate our inorganic investment plan. About these inorganic investments, should clarify that it will be needed necessary to Get some financing operations. For this year, we'd have some need and some authorizations that we have been gotten from the board of directors. For financing during twenty twenty five, Which allows to have one billion dollars in structuring and a temporary debt for another billing dollars. In addition to the financing operations, to support our inorganic investment plant. You should keep in mind that we are constantly monitoring the market and as we see the volatility, of this period. Find better funding of ready financing conditions, and we will be able to use them when we find them. So the capital market local capital market and international capital market, is it will always be very interesting financial alternative for the group. We might have a longer term maturities and at certain times, we'll just get some advantages that are convenient for our financing costs So both in the market government markets and the bank banks are alternatives through our constantly evaluating and analyzing How big is the impact to the tax on food exports? And how much is the impact of the deterioration and the differential to the sale of And mentioned that our estimate is that we can have a total impact of approximately Fifty million dollars per month. Which would be a total of six no. No. He he's making me sick. Fifty thousand billion pesos a year a month. For a total impact for the year of approximately of six billion pesos. And we're also And with the initial Thanks. The stamp tax, which we did, is also receiving that decree. About that, it's actually We have an estimate of a buck five hundred thousand a million pesos, which is one point two Billions places, the total impact on the result for twenty twenty five. What is this Vice President of Commercial and Marketing. In twenty twenty four, we had a reference for I see approved of eight forty eight. I've been nine o nine for and that is nine zero eight twenty four. We're at twenty twenty five. We Sounded very strong, but the distributions were distributed look at the figures yesterday. And the conversations for April for our goods, I can report that we have a strengthening or improvement of thirty five percent differential for Castilla thirty six percent in Apeel. And Maris nineteen percent of our crude for the I mean, You want your political your your political decisions? And things in Venezuela and the US, we are seeing our our best moment We're seeing that in our the are going to be moving, apparently, I know that you might require I might refer to the price of food in the fourth quarter of twenty twenty three compared to twenty twenty four. You see it there is the partial weakness, but part of what we she said that twenty twenty three, twenty twenty four where we improved by two dollars on the average, the differential This is what I can tell you about it. And the trend is totally the opposite. Thank you. And then, Marty, is live with a question.
Nicolas Azcuenaga: Hello. Thank you for taking my question. This is a follow-up on the explanation. Okay. If we respect to impairment recovery on downstream. So what is the range of price differentials on the EBITDA margin you're expecting for this segment? Thank you.
Camilo Barco: The price outlook was I've seen We have some different issues for twenty five to eighty six. They're very similar to what we've seen in twenty twenty four. However, in the medium long term, We have some changes, for examples, While the stable demand or slightly lower, Based on combination, with this list and availability and consistent demand. For the medium and long term And all in in main stabilize the prices of diesel, gasoline, and others. It's a question that I got out of the reply from the previous ship in the Pacific is if Ecopetrol is not going to It is hiring a third party for do the development that Third party. Must guarantee an appropriate return of its investments. So I'd like to understand sort of contract are you writing with the Hiccup Patrol, especially because the outlook in terms of gas reserves the country Yeah. It's not very positive for the short term. But we are supposed to have a a the development of all the fields is very positive. So understand a bit of what how can you make a contract that is going to be for a long term with the expectation that we're going to have a a significant increase in the gas reserves after those fields are able to produce and make a contribution of the local reserves. Can you tell me about that? What is the rationale and the type of contract that we we carrying out with a third party? Thank you for the question. The he's the vice president of energy for transition. The two initiatives for regasification that we've mentioned are part of a network alternative options. And which is make these Sources of gas available to the common while we get the offshore at a commercial level. All these initiatives Pacific and the Caribbean, plus others that they are we're personalizing. Of providing net gas while the offshore comes in. Based on that, all the contracts, in this case, with the Pacific, for example, for the reclassification service, Alright. Set up so that meets the time for the offshore gas entry. It's it's it's it's not in regular vacation, the gas services. This means that Ecopetrol should buy the molecule and that is going to it's coming from the international market. Use a term contracts which ensure the quantity of your gas that you need to re gasify. A recastifier. Only with private service. And we as a group have to put the molecule at the re gasification plant. And then after that, it's regasified and placed in the transportation system commercialize it through the national customers. Wouldn't that we should be paying for availability only if the basic or are you going to pay some fixed amount for the availability of the re gasification plant? The regasification service is here and in any other market where we energy is important. It's a fixed fee for the gasification service, which obviously has the obligation by the the account live and the provider to guarantee some reliabilities and some quality of the reclassification service for the year, which is other part with the what is efficient for this type of then you have to bring the gas for recasification. Those are the term contracts that the group has to make to buy the the mall accrued, which is a different type of transaction. We should mention that the highest cost of the imported gas is not the radiative service. It's the molecule put at the recastification plant. Is a material component in a transaction of this type. Registration services are don't have so much weight in the as a total as a model of America. Yeah. When it is placed into the national market. No further questions, sir. Now the president's two for final message.
Ricardo Roa: Thank you all for your attendance. We wish you well, I we hope that we have answered all your questions and concerns. Yeah. About the economic, financial, and technical performance. For this year. We're committed to our in the country our stakeholders, and shareholders to continue to be the major company of all Colombians and the guarantee of the guarantee of fuel and security for the country. Thank you very much.
Operator: Thank you, everyone. This ends our results for conference for the fourth quarter of 2024. Thank you for taking the patient. You can disconnect now.